Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American States Water Company Conference Call discussing the Company's Third Quarter 2019 Results. The call is being recorded. If you would like to listen to the replay of this call, it will begin this afternoon at approximately at 5:00 p.m. Eastern Time and run through Tuesday, November 12, 2019, on the Company's website, www.aswater.com. The slides that are company will be referring to are also available on the website. All participants will be in a listen-only mode. [Operator Instructions] This call will be limited to an hour. Presenting today from American States Water Company is Bob Sprowls, President and Chief Executive Officer; and Eva Tang, Senior Vice President of Finance and Chief Financial Officer. As a reminder, certain matters discussed during this conference call may be forward-looking statements intended to qualify for the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995. Please review a description of the Company's risks and uncertainties in our most recent Form 10-K and Form 10-Q on file with the Securities and Exchange Commission. In addition, this conference call will include a discussion of certain measures that are not prepared in accordance with generally accepted accounting principles, or GAAP, in the United States and constitute non-GAAP financial measures under SEC rules. These non-GAAP financial measures are derived from consolidated financial information but are not presented in our financial statements that are prepared in accordance with GAAP. For more details, please refer to the press release. At this time, I will turn the call over to Bob Sprowls, President and Chief Executive Officer of American States Water Company.
Bob Sprowls: Thank you, Sarah. Welcome everyone, and thank you for joining us today. I'll begin with some highlights for the quarter. Eva will then discuss some important financial details, and then I'll wrap it up with some updates on regulatory activity, ASUS, and dividends, and then, we'll take your questions. I'm very pleased to report that we delivered another excellent quarter, with 2019 earnings per share up 23% compared to last year's third quarter. For our Golden State Water Company subsidiary, earnings increased year-over-year, largely due to new water rates for 2019. And in August, we received a final decision issued by the California Public Utilities Commission or CPUC on our electric segment's general rate case, resulting in retroactive revenues for 2018 and higher earnings in 2019. As a result of these milestones and continued solid execution of our businesses, third quarter 2019 earnings were $0.76 per diluted share as reported and $0.69 per share, excluding the retroactive impact of our electric rate case decision. These adjusted earnings represent an increase of $0.07 per share or 11% over the third quarter last year. In addition, Golden State Water Company continues to invest in the reliability of our water and electric systems. During the first nine months of 2019, we spent $100.3 million in Company-funded capital expenditures and we are on target to spend $115 million to $125 million for the year, about 3.5 times our expected annual depreciation expense. All in all, it was another productive and positive quarter, while laying the groundwork for continued earnings growth. With that, I'll now turn the call over to Eva to review the financial details for the quarter.
Eva Tang: Thank you, Bob, and hello, everyone. Let me start with an overview of our third quarter financial results on Slide 7. Consolidated earnings as reported for the quarter were $0.76 per share compared to $0.62 per share for the same period in 2018. Earnings for the quarter were positively impacted by the CPUC's final decision on the electric general rate case with the new rate retroactive to January 1, 2018. The retroactive impact of the decision was reflected in the results for the third quarter. Of the electric segment's $0.10 earnings per share, $0.07 was related to the period prior to the third quarter, including $0.03 per share for the first six months of 2019 and $0.04 per share for the full-year 2018. The $0.07 per share is shown on a separate line in the table on this slide. The water segment's earnings for the quarter were $0.53 per share, $0.06 per share higher than the same period in 2018 due largely to approval of the water general rate case, which established new rates for 2019. For the electric segment, after excluding the $0.07 per share retroactive impact on the August general rate case decision, earnings increased by $0.01 per share due to new electric rate, partially offset by a higher effective income tax rate resulting from certain flow-through taxes. Earnings at our contracted services segment for the third quarter of 2019 were $0.12 per share as compared to $0.13 per share for the same period in 2018, largely due to differences in the timing of construction work performed this year versus last. Consolidated revenue increased by $10.3 million due to increases at both the water and electric segments, while the revenues for the quarter increased by $7.6 million to $95.2 million due to the new water rate. The $4.1 million increase in electric revenue reflects rate increases based on the CPUC's decision in August, which includes $3.6 million for the first two quarters of 2019 and for the full year of 2018. Contracted services revenues for the quarter decreased $1.4 million as compared to the third quarter of last year, largely due to differences in timing of construction work performed between the two periods. Looking at Slide 9, our water and electric supply costs were $31.8 million for the quarter, an increase of $3.3 million from the same period last year. Any changes in supply costs for both the water and electric segments as compared to the adopted supply costs are tracked in balancing accounts. Total operating expenses, excluding supply costs, decreased $1.7 million versus the third quarter last year due to a decrease in depreciation expense based on lower depreciation rates authorized in the water general rate case; a decrease in administrative and general expenses, largely due to timing differences related to the recognition of stock-based compensation expense; and a decrease in construction expense at ASUS, largely due to differences in timing of construction work performed between the two periods. These decreases were partially offset by higher maintenance during the quarter and property taxes. We expect maintenance expense for the fourth quarter to be higher than the average for the first three quarters. Interest expense, net of the interest income and other income, including investments held in a trust to fund a retirement benefit, increased due to lower gains on those investments as well as higher interest expense due to increased borrowing. Slide 10 shows the EPS bridge comparing the third quarter of 2019 with the same quarter for 2018. This slide reflects our year-to-date earnings per share by segment. Fully diluted earnings for the nine months ended September 30, 2019 were $1.83 per share compared to $1.35 per share last year. This increase includes $0.04 per share recorded this year but related to 2018 as a result of CPUC's August decision on the electric general rate case, which was retroactive to January 1, 2018. For more details, please refer to yesterday's press release and Form 10-Q. In terms of the Company's liquidity, net cash provided by operating activity for the first nine months of 2019 was $84.3 million compared to $108.4 million for the same period in 2018. The decrease was primarily due to lower water customer usage, delays in receiving decision on the water and electric general rate cases, and the refund of $7.2 million to water customers during the third quarter of 2019 related to the 2017 Tax Cuts and Jobs Act. The decrease in water customer usage increases the under-collection balances in the water revenue adjustment mechanism regulatory assets, which is filed annually for recovery. Golden State Water invested Water invested $100.3 million in Company-funded capital projects during the first nine months of 2018, continuing our strong investment levels. We are on target to invest $115 million to $125 million this year. Last week, we amended AWR's credit facility, temporarily increased its borrowing capacity from $200 million to $225 million. We plan to issue long-term debt at Golden State Water next year to reduce the following under this line of credit facility. At this time, we do not expect American States Water to issue additional equity. With that, I'll turn the call back to Bob.
Bob Sprowls: Thank you, Eva. I'd like to provide an update on our recent regulatory activity. As discussed, the water utility rate case decision issued in May to set rates for years 2019 through 2021 has yielded positive results for Golden State Water this year. The decision also allows for potential additional water revenue increases in 2020 and 2021 of approximately $9.1 million and $12 million respectively, subject to the results of an earnings test and changes to the forecasted inflationary index values. We are making timely infrastructure investments of $334.5 million over the rate case cycle, and expect to meet earnings test for each of our rate making areas for 2020 rates. We have undergone our planning process to file our next general rate case in July 2020 for new rates beginning 2022. In addition, Golden State Water and three other California Class A water utilities are scheduled to file the next cost of capital application in the second quarter of 2020. In August of this year, the CPUC issued a final decision on our electric rate case approving the settlement agreement between the Company and the CPUC's Public Advocates Office to set electric rates for years 2018 through 2021. The decision extends the rate cycle by one year. New rates will be effective for 2018 through 2022. It increases the electric gross margin for 2018 by approximately $2 million compared to the 2017 adopted electric gross margin, adjusted for changes resulting from the Tax Cuts and Jobs Act. It authorizes the Company to construct all the capital projects requested in its application and provides additional funding for the fifth year added to the rate cycle, which total approximately $44 million of capital projects over the five-year rate cycle and it increases the adopted electric gross margin by $1.2 million for each of the years 2019 and 2020, by $1.1 million in 2021, and by $1 million in 2022. The rate increases for 2019 through 2022 are not subject to an earnings test. Due to the delay in finalizing the electric general rate case, electric revenues in the first two quarters of 2019 were based on 2017 adopted rates. Because the CPUC's final decision is retroactive to January 1st, 2018, the cumulative retroactive earnings impact of the decision is included in our third quarter results, including approximately $0.03 per share related to the first six months of 2019 and $0.04 per share relating to the full year ended December 31st, 2018. Let's move on to ASUS on Slide 14. ASUS's earnings contribution for the quarter was $0.12 per share as compared to $0.13 per share last year. The decrease was largely due to differences in the timing of construction work performed during 2019 as compared to 2018. For the nine months ended September 30th, 2019, earnings for ASUS is $0.10 per share higher than last year due to the commencement of contract operations at Fort Riley in July 2018 as well as revenue increases due to successful resolution of various economic price adjustments and an overall increase in construction activity. We reaffirm the guidance we have previously given to the market on ASUS's expected earnings contribution of $0.43 to $0.47 per share for 2019. While we're disappointed that we did not win the most recent military base contracts, ASUS as a prime utility privatization contract provider, remains actively involved in various stages of the proposal process at a number of other bases considering privatization. U.S. government is expected to release additional bases for bidding over the next several years, and we believe we are well positioned to compete for these new contracts. ASUS has been awarded approximately $20.5 million in new construction projects so far during this year. Taking this into account and with more expected to be awarded in the fourth quarter, we believe ASUS's earnings contribution for 2020 will be in the $0.46 per share to $0.50 per share range. I would like to turn our attention to dividends outlined on Slide 15. Our Board of Directors recently approved a fourth quarter dividend of $0.305 per share on AWR's common shares. Earlier this year, we increased our quarterly dividend by 10.9%. American States Water Company has paid dividends to shareholders every year since 1931, increasing the dividends received by shareholders each calendar year for 65 consecutive years. Our dividend policy is to achieve a compound annual growth rate in the dividend of more than 7% over the long-term, reflecting our Board's confidence in the sustainability of the Company's earnings at both our Golden State Water and ASUS subsidiaries as well as the prospects for our future. A strong and increasing dividend allows the Company to continue attracting capital to make necessary investments in the systems for the communities and military bases that we serve. I'd like to conclude our prepared remarks today by thanking you for your interest in American States Water, and we'll now turn the call over to the operator for questions.
Operator: We will now take your questions. [Operator Instructions] We will begin with Durgesh Chopra with Evercore ISI. Please go ahead.
Durgesh Chopra: This is Durgesh Chopra with Evercore ISI. So, first, thank you for putting that the EPS reconciliation. You guys always do it, and you separated out retroactive adjustment. That was really helpful. So, thank you for doing that. I'm all good in the quarter. I just wanted to go back to the California regulatory environment a little bit here. You've seen some sort of negative rhetoric with the WRAM as it relates to what were kind of -- is an evolving situation with San Jose Water and then Cal Water and their most recent ongoing rate case. I was just kind of wondering if you could share any color on how this was treated in your most recent water rate case that I believe we got resolved in the last few months?
Bob Sprowls: Right, we got our case resolved and make out a decision in May and we had settled all of the issues in the water rate case and had no hearing, so very smooth sailing. There were no major issues, no major problems with the water revenue adjustment mechanism or the modified cost balancing account. We have a full cost WRAM and have had since I guess 2008. Yes. So, we didn't really experience any problems.
Durgesh Chopra: Okay, thanks.
Bob Sprowls: I can't really comment on what's going on at Cal Water and SJW.
Durgesh Chopra: That's fair. That's fair, Bob. Could you give us a sense of like -- and maybe this is more for Eva is to like, so, to what extent is your earnings power or your EPS number, net income number, margins whatever are getting the benefit of the WRAM as it sits currently?
Eva Tang: Well, our earnings fully reflect the full WRAM in our revenues. So, if we have a variance between the -- of consumption between the adopted and actual and were booked to the adopted consumption level. So, really have no impact to our earnings, become more receivable or liability on our balance sheet. We do collect customer to extend. We have a shortage in revenue, or if we over collect, we will refund to our customers, so if you look at our gross margin as recorded pretty close to the adopted gross margin in our rate case.
Durgesh Chopra: So what's the delta been, like what's the average receivable balance been for the last few years? I'm trying to get a sense of what's the delta between or historical delta between your authorized versus the actual.
Eva Tang: Well, it depends -- it depends on the usage each year. I think this year we have a little larger WRAM balance because the consumption was lower. I think year-to-date, our consumption was 8% lower than last year. So as a result, we have a bigger under-collection WRAM balance to be collected from customers. But during the year, if the consumption is pretty similar to the adopted level, then the balance of the collection will be smaller.
Bob Sprowls: Generally, we have an under collection. Generally, people end up. It's just sort of hard to keep up with the decline in people's consumption. But generally, we have an under collection because the adopted sales is greater than what customers are using set.
Eva Tang: Yes. That's a fair statement. And we also in this decision, we have a sales adjustment mechanism. So to the extent, the consumption is greater or less than 5% of the adopted number, we can file for a base rate change. So, we have certain service areas maybe getting to that level.
Durgesh Chopra: So is that not in the calendar year basis you're getting it? You can sort of true it up, if it's 5% or greater.
Eva Tang: Right. So, as a effect of that, you will lower your ongoing WRAM balance, because you have building that adjustment into your base rates. Does that makes sense?
Durgesh Chopra: That makes sense. Thank you. Maybe we can just follow-up. I have a few more detailed questions after the call. Thank you.
Eva Tang: We're happy to.
Operator: Our next question comes from Richard Verdi with Coker & Palmer. Please go ahead.
Richard Verdi: I have a quick question to start. Bob, the guidance you gave for ASUS for 2020, the $0.46 to $0.50. Going back and thinking about the 2019 guidance of $0.43 to $0.47, can you just discuss a little bit about what goes into your thought process or the team's thought process to generate that $0.46 to $0.50 guidance for 2020? What's the thinking behind that?
Bob Sprowls: Sure. Well, we look at a number of things. One of the items we look at is the new capital upgrade work that sort of got awarded in 2019. That will -- a large part of that will be doing in 2020. We also look at the continued efficiencies that we're able to kind of bring out of the business on the operations and maintenance side. And then of course, we just look generally what our construction activity will be for 2020 both from a renewal and replacement standpoint, and as I mentioned, the new capital upgrade standpoint.
Richard Verdi: Okay, that's helpful. And if I may backing up to the two contracts you most recently won, I guess, thinking about Fort Riley, the one before that as well. It is kind of informal guidance there of a $0.03 to $0.05 positive impact from each one of these contracts each year. So I mean, let's just say that you announced a contract -- some win tomorrow. I mean from a modeling perspective from where we sit, could we maybe expect to may be apply an additional $0.03 to $0.05 on top of that 2020 guidance? Maybe, I mean obviously, it would take 12 months for it to be recognized the flow through to the business. But -- so maybe you could add another $0.02 on top of that $0.46 to $0.50 guide or no?
Bob Sprowls: It's really a function of the size of the base for one thing. The larger bases contribute more of course than the smaller bases also just wanted to mention the last two bases that we have won. There was a nine-month transition period from when it's announced to the world to [Multiple Speakers] when we take over the base. So, there's always this transition period, which is -- it's a very helpful transition period because it allows us to hire the folks to -- the field people to help run the base, and then get our analysis done of the assets that have been taken over. And so, it's really hard to say Richard. I mean it's a function of the basis that the Company wins. I mean we're very pleased to have won the Eglin Air Force Base in Florida and Fort Riley in Kansas. Those are very substantial bases. And so, we're looking forward to winning new bases in the future.
Richard Verdi: And then just one last question as well, please. When I look across numbers, and you had a very good quarter obviously, and there's not a lot of noise for me. There is a little bit of noise in one area and that is the ASUS construction expense line.
Bob Sprowls: Let me model. I'm sorry, bear with me, please.
Richard Verdi: Okay. So if I look at the ASUS construction expense line that was approximately $12.9 million for the quarter. And it's down a little bit year-over-year. And at the same time, when we look at nine months ending 2019 is up a little bit year-over-year. So it's actually -- is that just -- it's down this quarter, but it's up in the first two quarters. Is that just kind of lumpiness? Is that what's going on there, just kind of timing? Or is that maybe -- can we kind of think of maybe a somewhat of -- not a downtrend, but just a lighter growth rate for that line going forward? Or how should we think about that?
Bob Sprowls: Yes, this is what I would say about the construction revenue line there. We made a conscious effort in 2019 to sort of improve the construction that we did in the first quarter and the second quarter. So, we are looking at more level out the construction revenues throughout the year relative to what you would have seen in 2018 and 2017. Those years we may be got off to a slower start in the first part of the year there, the first six months of the year. And then, we hit it really hard in the last six months. The goal this year was to spread the construction out a little more evenly than we've seen it in the prior years.
Operator: [Operator Instructions] Our next question will come from Jonathan Reeder with Wells Fargo. Please go ahead.
Jonathan Reeder: Not too bad actually. Thanks for asking. So with three quarters under your belt, it looks like utility net income, very strong, aided by the GRCs getting approved, but also some pretty impressive cost controls. What sort of earned ROE do you see GSWC earning this year?
Bob Sprowls: Yes. We really haven't come out publicly and stated that. So, I don't know one can go back and look at the 12 months ended ROE and use that as potentially a guide, I guess. So one would expect our fourth quarter to having the water rate case and the electric rate case and it should be better -- one would think it would be better, yes. But we are trying to catch up a bit on some of our expenses. So, I can't really help you much with that, Jonathan. I guess I don't have the 12 months ended numbers. Do you, Eva?
Eva Tang: I don't have it with me, but...
Bob Sprowls: Maybe you can speak with Jonathan offline and just sort of tell them where that is.
Jonathan Reeder: Okay. I mean, would you say, I mean the earned ROE, is it coming in better than you guys were expecting or kind of in line? I mean our expenses, I know there's going to be a little catch-up you're saying in Q4 Bob, but our expenses coming in even a little better than you're anticipating going into the year?
Bob Sprowls: Yes, I mean, I would say we're a little bit ahead of the curve on the expense control. I'm very pleased with what our folks have done. They continually just do a great job of managing our expenses. And the shareholders benefit in the short term and our customers benefit in the long term. So it's really a -- it's a great thing to do. I would say it's one thing we're particularly good at is driving costs out of the Company. And I would continue to expect us to be able to do that.
Jonathan Reeder: Okay. And then, I know you don't give consolidated EPS guidance. But if we take your full-year 2019 results, I'm just back out the 2018 retroactive portion of the electric GRC, I mean does that serve as a pretty good base for which to grow EPS off of in '20?
Bob Sprowls: Yes, I would say so. I mean we've got a lot of capital in and we've been -- I think we've been able to tell the folks what the change in the gross margin is expected for 2020 and...
Eva Tang: And we expect to meet our step increase for 2020. So, it's about $9 million that Bob talked about. So that's increaseing revenue. So you can kind of go from there, Jonathan.
Bob Sprowls: We've been very pleased that we've been able to execute our capital plan. We've gotten capital dollars from the PUC, and they're substantial. And our asset management group has done a great job of working through all the wickets to get permits, etc., to get the dollars -- get this dollar spent on the projects that we had gotten approved. It sounds much easier than it really is. It's -- you got to work with a lot of parties to get all this construction work done and I couldn't be more pleased with the work our asset management group has done this year.
Jonathan Reeder: I promise you on our end. We don't appreciate that, Bob. We're behind the scenes there, so a good job. What about on the expense side? I know you're talking about the revenues and step increases and stuff. The expenses this year -- do you think, just kind of normal growth off of that or because they have been low this year, might the growth being a little higher than what you've -- the pressure on those expenses to be higher than what you've experienced in the past?
Bob Sprowls: Well, I mean I would see if you look at the fourth quarter, we're probably going to see some increase in expenses over what you may be seen in the first nine months. But then as you move into 2020, I would say the expenses for the fourth quarter is largely a timing issue, but then as we get into 2020, I expect us to continue to do a great job of controlling our expenses.
Jonathan Reeder: Okay. And then last for me, the 7% dividend growth target, should we view that as being off of that new $1.22 base? Or is the step-up in the dividend, the substantial step up this year kind of embedded or included in that 7% long-term CAGR?
Bob Sprowls: I mean, I think you should just, it's a long-term -- it's a long-term 7%. So it's not -- it's not a five-year 7%, so you shouldn't look at it as well the 11% increase that we've got is going to then we're going to see something south of 7% in the next four years. I mean I think it's 7% as far out as we can see.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bob Sprowls for any closing remarks.
Bob Sprowls: Thank you, Sarah. And I just wanted to wrap it up today by thanking everyone for their participation today and wishing them happy holiday season, and we look forward to speaking with you next quarter. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.